Operator: Good morning and welcome to the Sonic Automotive first quarter earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer period. (Operator instructions) As a reminder, ladies and gentlemen, this call is being recorded today April 26, 2011. Presentation materials which management will be reviewing on the conference call can be accessed on the company’s website at www.sonicautomotive.com by clicking on the For Investors tab and choosing webcast and presentations. During this conference call, management may make financial projections, expectations about the company’s products or markets or otherwise make statements about the future. Such statements are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from the statements made. These risks and uncertainties are detailed in the company’s filings with the Securities and Exchange Commission. Thank you. I would now like to introduce Mr. Scott Smith, Co-Founder and President of Sonic Automotive. Mr. Smith, you may begin your conference.
Scott Smith: Thank you, Holly. Good afternoon, ladies and gentlemen. I’m Scott Smith, Co-Founder, President and Chief Strategic Officer. Welcome to Sonic Automotive’s first quarter 2011 earnings conference call. Joining me on the call today are the company’s Vice Chairman and Chief Financial Officer, Mr. Dave Cosper; our Executive Vice President of Operations Mr. Jeff Dyke; Greg Young, our Vice President of Finance and David Smith, the company’s Vice President. Today, I will provide an overview of the quarter; I’ll then turn the call over to Dave Cosper for a financial review. Jeff Dyke will follow Dave and give an update on our operational trends and then we will open the call for your questions. If you please turn to the slide labeled overall results, we are pleased with this quarter’s operating results. Our EPS from continuing operations was $0.27 per share, an increase of 125% over the first quarter of last year. Our results were driven by our new and used vehicle business which also drove incremental business in our fixed operations and F&I business. Our 27% new vehicle volume growth easily outpaced the industry growth in Q1. Our used volume continued its double-digit growth trend for the eighth consecutive quarter. Our used to new ratio was 0.9 to 1 for the quarter as our used volume continues to increase, even as the new vehicle market continues to rebound. We continue to get closer to our goal of 100 used cars per store per month. Our parts and service business continues to grow steadily with revenues up 6% over the first quarter of last year. The implementation of our operating playbooks which is driving new and repeat customer business combined with the benefit we get from our reconditioning used vehicles are both giving positive impact on our fixed operations business. Dave will have more color on this in just a minute, but we made progress this quarter on our continuing effort to own more of our dealership profit. We purchased a real estate for five of our luxury and import stores in Northern California and we now own the real estate on 18% of our dealerships. SG&A as a percentage of gross profit improved by 310 basis points over the first quarter of last year. We finished the quarter at 79.9% of gross profit which is in line with our expectations and our sequential trend. With that, I’ll turn the call over to Dave to provide more color on the financial results. Dave.
Dave Cosper : Thanks, Scott and good afternoon, everyone. Overall, I feel we had a very strong quarter. Revenue was up 19% and gross profit was up nearly 10%. With SG&A improving the 79.9% of gross profit, we were able to grow operating profit by 32%. Our interest costs declined further in the quarter which helped to more than double bottom line profit from last year. As Scott mentioned, EPS was $0.27, that’s up from $0.12 a year ago. Results for total operations improved ever more, up more than three-fold, as losses in discontinued operations have been sharply reduced. We continue to have no stores for sale in discontinued operations. Our guidance is going to stay pad [ph] at $1.18 to $1.28. We are off to a good start for the year and the industry seems fairly robust. However, there is numerous risks related to availability of new vehicles and Jeff will talk about that shortly. So for now, we are comfortable holding our guidance. Next slide please. As Scott mentioned, SG&A as a percent of gross was 79.9% and it’s 310 basis points better than last year. Reductions were made in all cost categories, except advertising, where we increased spend modestly to help fuel our sharp increases in volume and market share. And for the full year, we continue to see SG&A as a percent of growth a bit below 80%. Next slide. Capital spending for the year remains projected at $63 million. In the first quarter, spending was $36.6 million, a large portion of which was for the real estate acquisitions that Scott mentioned. We did acquire five great properties on the west coast for 75 million. And with support from our financial partners we closed on mortgages, totaling $54 million. So we will continue to own more of our properties over time as opportunities arise. Beyond 2011, we expect CapEx to be in the range of $40 million to $45 million a year and this includes equity down payments for our future real estate purchases. Next slide please. This slide shows our maturities of our public debt which now total $425 million and we have no scheduled maturities for the next two years. As we have said many times, our investment priorities are the base business, owning our properties, and reducing debt. We plan to stick with these priorities. And consistent with this, we plan to take out the $43 million of eight and five eights of debt later this year and it can be called at par in August. Following that, we plan to turn our attention to the $173 million of convertible debt which has a call and put date in October, 2014. This debt trades substantially above its face value and our plan to address that will include a substantial repurchase of our equity over the next several years. Next slide please. Debt covenants, this slide shows full compliance with our credit facility covenants and the covenants are shown at the level that stepped up effective March 31 of this year; a final step-up is March 31 of 2012, and these are shown to the right side of the slide and we are even to plan what these levels also. So, with that, I will turn the call over to Jeff for a discussion of our sales and operations. Jeff
Jeff Dyke: Thanks, Dave and good afternoon, everyone. I appreciate the opportunity to share the Sonic Automotive first quarter of 2011 operating results. Before I get started, I’d like to extend our prayers to the people of Japan, as well as our manufacture partners for the tragedy that they’ve endure and wish them Godspeed in their full recovery. With that, let’s talk about the quarter and our new vehicle results. New vehicle revenue was up 25% for the quarter. As you can see on the slide, new vehicle volume was up nearly 26%, both easily outpacing SAAR increase of 18% as we began the rollout of our new vehicle playbook. New vehicle growth was up 14% for the quarter to $58.1 million. The great news is just like we’ve seen for three years in pre-owned, our new vehicle playbook strategy is starting out well as we drove significant volume increases in stores that we rolled out that have been out for more than one month of performance. The increase in these stores from a volume perspective for the quarter was up 96% year over year and from a gross perspective, including front-end and F&I, was up 47% year over year. As you can see on the slides, when combined with F&I, our total new car gross was up 18%, driven by strong volume gains across all brands, but in particular BMW Mini, Honda, Ford, General Motors, and Volkswagen. We ended the quarter with a 48 day supply of new vehicles and I’m sure that each of you is interested in how our Japanese import inventory situation looks. So, let’s take a look at the next slide, please. As we’ve described on the slide, our inventory levels for the month of April are in good shape and we expect no volume disruption in total for the month. As we move into May, and in particular with Honda and Lexus, inventory levels will begin to thin out about the middle of the month. Please note that this could be earlier in May for some brands in stores as consumer demand is increasing and we have no intention of slowing down our business to conserve inventory. Our goal is to sell everything we have at market rates. Overall, we expect to have a solid month in May even with Japanese inventory levels beginning to thin out. June is when we expect the inventory levels to get to tight. We do expect disruption to our Japanese brands during the summer months because of slimmed down production, stoppages, and part shortages. We believe that our manufacture partners are doing all they can to provide us with inventory and expect things to be touch-and-go until we have further information telling us otherwise. The question is what can Sonic do to offset the shortages during the summer months. We’re increasing our day supply and certify nearly new pre-owned vehicles, especially with Honda and Lexus. We’re doing this through our strong buying organization and through aggressive in-store trade allowances to entice consumers to trade their vehicles. As you can see on the slide, we’ve also suspended all fleet deals associated with these import brands and certain dealer trades. And we’ve asked our employees to not purchase these units under their employee discount program. We’ll be happy to address questions on inventory from these brands during our Q&A session. Next slide please. I know I get to keep saying this each quarter, but I sure am proud of our pre-owned vehicle team as they once again had an outstanding performance delivering an all-time record volume quarter and another double-digit volume growth, our eighth straight since the second quarter of 2009. Revenue for the quarter was up 15%, while unit volume was up 17.5%. To add to the performance, we also had an all-time record pre-owned gross quarter, up 10%. When we add in the incremental F&I dollars and fixed operations internal and sublet growth, the story simply keeps getting better as those categories were up an additional 15% combined, as our total gross dollar growth strategy for pre-owned continues to prove itself quarter after quarter. Our CBS buying organization has grown to 20 buyers and we’ve plans to add a couple of more between now and the end of the year to help Sonic keep pace with its volume growth, and our target of 100 units per store per month. We have reached 78 units per store per month for the quarter, well ahead of our pace in 2010. And in March, we sold over 9,000 units, an average of 84 units per store and our single largest volume month in company history. If I gave you a sneak peek at April, you would see this record being broken again as our pre-owned team continues to gain momentum around our playbook execution. After two years of development, we’re set to rollout our new inventory management system that we call SIMS in May. We’ve been fine tuning the final version of the SIMS, of the system and the technology, it’s simply fantastic. We believe SIMS will give us a competitive advantage in inventory procurement, pricing, and logistics. Our pre-owned day supply was 35 days ending the quarter and our certified pre-owned business was 31% of our sales, in line with our strategy. Next slide please. As we start our third year of playbook execution in fixed operations, we started with a bang. Our strategy is paying off as both revenue and gross dollars set all-time records for the company. As you can see on the slide, this performance was supported by 6% growth in revenue and 3.8% growth in gross dollars. Customer pay revenue was up 1% for the quarter, while customer pay gross was actually down 1.4%. And these numbers are down from what we’ve been trending in the previous few quarters driven by unusual amounts of snow days or what we had store closure days. We had those in the Northeast Oklahoma and Dallas during the quarter. We saw a return to 3.5% growth in March. As a matter of fact, at our all-time sales and gross record month. So, we’re not concerned with this blip. Both internal and sublet continue its pace with the tremendous growth we’re seeing in pre-owned sales. Both were up a combined 17% of revenue, and 13.2% in gross. Warranty did contribute to our growth this quarter as Toyota, Lexus, and BMW had recalls. They were the primary drivers of the warranty increase in revenue and gross, both up 11%. Warranty has averaged about 17% of our revenue mix for the last couple of years and first quarter was in line with that number as well. Next slide please. In summary, Q1 was in line with our performance expectations as we achieved our SAAR adjusted operational objectives for the quarter. We continue to be optimistic about the SAAR, which is running above our 12.5 million budgeted projection at 13 million units. And this will only enhance our performance as we move through the year. We continue to gain speed in all of our operating categories and are excited about Q2 even with the inventory issue of our Japanese import partners, as they deal with the aftermath of the tragedy that struck Japan. Let me briefly summarize how we currently view the Japanese import situation. Our Toyota inventory is in very good shape. Honda is getting a little tight. We expect to see some supply disruption over the course of Q2 and Q3. We expect to see some brand migration on part of the consumer and potentially some pent-up demand for these brands as the inventory pipeline returns to normal later in the year. Our used business continues to grow faster at a faster rate than we had originally forecasted which will help offset some of the disruption on the new vehicle side. Our first quarter performance proved simply that our continued focus on associate satisfaction and playbook execution will lead directly to the results you’re seeing. We’re excited about 2011. We look forward to presenting you our second quarter results in the coming months. It’s my pleasure to lead the Sonic operations team. I’d like to take this opportunity to thank each and every Sonician [ph] family member for their hard work and dedication in making Sonic Automotive one of America’s greatest companies to work and shop. And now, I’ll turn the call back over to our leader, Scott Smith.
Scott Smith: Thank you, JD. Our operating strategy is simple and successful. Our focus on creating predictable, repeatable, and sustainable processes in our dealerships are producing results in every area of our business. We continue to focus our attention on developing our culture and developing our leaders at all levels of our team. Our new and used volumes are exceeding the industry growth and driving growth in the related fixed operations and F&I business. We’re still targeting 12.5 million SAAR for 2011 even with the potential for short-term disruption from the natural disaster in Japan. We’re maintaining our earnings guidance of $1.18 to a $1.28 per share. It’s an honor and a privilege to lead our great team. Before we take questions, I want to take a minute to thank all of our associates and vendor partners who join together every day to help us build one of America’s greatest companies to work and shop. With that, we’ll now open the call for your questions.
Operator: Thank you. (Operator instructions) Your first question comes from the line of Patrick Archambault, Goldman Sachs.
Aditya Oberoi – Goldman Sachs: Hi, guys. This is actually Aditya Oberoi filling in for Pat.
Scott Smith: Hi.
Aditya Oberoi – Goldman Sachs: I just have a question on your margins on the new vehicle side. Going from here, I’d like to hear your thoughts on what do you think the margin trajectory is going to be both in the near-term and in the long-term given that you might see some benefit from tighter inventory in the near-term and what do you think is going to happen in the long-term? Thanks.
Jeff Dyke: Hi, Pat, it’s Jeff Dyke. Listen, our margins are going to range somewhere – just like we said at the end of the fourth quarter – somewhere between $2,150 a copy up to $2,300. Last year in the first quarter, we were $2,300, it also happened to be our best new car margin quarter ever. And, we’re getting really aggressive with our Honda brand. We’re rolling out our new vehicle playbook and we said at the end of the fourth quarter that that was going to move our margins around a little bit. But with performance that we’re getting out of the stores, with the lift that we’re getting, it supports our overall strategy to drive total gross. So in terms of margins, $2,150 a copy, $2,200, somewhere in that ballpark, in short supply, push that up. Possibly, we’re seeing that in our Lexus brand right now where inventory is getting tight and margins are moving up, especially on the West Coast, our margins are up, maybe a $1,000 a car over the last six weeks. But, overall, we’re going to be in that range somewhere in the $2,150 to $2,300 range in terms of new PUR. And then our used car PUR is at $1,500 and it’s been there for seven quarters and it’s just going to stay right in that ballpark. We’re not going to push that up. We’re in a – driving a lot of volume and on our way to selling a 100 used per store per month and so that’s not going to move. And, then from a fixed operations perspective, the margin last year was at 50 units, it’s a little lower than that maybe 60 basis points or something lower than that and that’s more mixed than anything else that’s driving that, as we work to increase our volume and our service drives as well. So, margin is going to move round a little bit, but we’re very comfortable with where we are today.
Aditya Oberoi – Goldman Sachs: Got it. And moving on to the SG&A as a percentage of gross profit, the incremental SG&A, that kind of came in pretty low at 36%, if I do the math, as it has cracked in the high 70s in the past, was there anything specific going on this quarter or how should we be thinking about it in the future?
Jeff Dyke: Pat, it’s Jeff Dyke again. Our SG&A was at 79.9 unless I’m not understanding the question.
Aditya Oberoi – Goldman Sachs: Because – if I see your – the incremental SG&A that you guys did this quarter – this quarter year on year was like $8.2 million on a increased revenue of $22.5 million, right?
Jeff Dyke: Yes.
Aditya Oberoi – Goldman Sachs: And so, if I do the math, that translates into 36% incremental SG&A as a percentage increase value?
Jeff Dyke: Yes. We typically don’t look at it that way, but you are right and basically what we’re seeing is we’re leveraging the cost basis. We’re growing throughput and revenue and gross. And you’re just seeing the variable piece of our business moving up a little bit and leveraging the fixed cost structure.
David Cosper: I mean, we said last year, we were building our model all last year and our SG&A was a little higher and we kept saying, hey, look, this is going to come down as we drive our revenue and grosses up and that’s exactly what’s happening right now. And we expect it to be in the range that we’re at now for the remainder of the year.
Jeff Dyke: It could get a little better. It could get –
David Cosper: As summer months go on, but it’s going to be right in the range, just below 80.
Aditya Oberoi – Goldman Sachs: Alright, and I think in the longer term, you guys have said that if SAAR goes back to that 13 or 14, 15 million range, you guys could be in the mid 70s as well.
David Cosper: That’s correct.
Aditya Oberoi – Goldman Sachs: Okay, well thanks a lot guys.
Operator: Your next question comes from the line of Scott Stember, Sidoti.
Scott Stember – Sidoti: Actually, good afternoon.
Scott Stember – Sidoti: Hi Scott.
David Cosper: It is good morning.
Scott Stember – Sidoti: Exactly. Could you maybe talk about some of the cross-selling opportunities that you could possibly have, which brands would migrate to which brands, and just maybe talk about how some of the non-Japanese brands, well, such as the Cadillac and some of the other alternatives have performed in recent months?
Jeff Dyke: Hi, Scott, it’s Jeff Dyke. I mean, certainly when you look at Ford, you look at Chevrolet, Cadillac from our perspective, Audi – I mean, Volkswagen, these brands are all performing extremely well. I’d challenge you to look at cross shopping a little bit differently than maybe some of the others have challenged you and that is not so much from brand to brand, but from new to used. We’ve really beefed up our nearly new Honda and Lexus inventories. And I’m not talking about 2008 or 2009 Honda models. I’m talking about 2010 and 2011 Honda models that we’re buying and closed Honda sales. We are having to pay up for them, but our average margins are hanging in there and these miles on these cars are anywhere from 500 miles to 1,500 miles. So, it’s an easy switch when you don’t have a Civic and Accord or Pilot as we see that happening in the coming months to switch them to this inventory. And the way that we’ve structured our buying organization and as aggressive as we’re in our trades, the transition is from new to used, that’s where we’ll go first, and then migrating from a Honda to a Ford certainly, that’s going to happen. But, we don’t track that kind of data, so it’s hard for me to be able to tell you there what we would see happening from one store to another.
Scott Stember – Sidoti: Have you seen any earlier successes or any examples of new down to used?
Jeff Dyke: Well, I mean, we have in some of the stores that have new car tightening. We’ve got a Honda store in Vegas that’s doing very well with it but we really don’t have low inventory levels yet on new. So, that experience is going to start mid-May towards the first of June. And our guess is that we’re going to sell a lot more used cars as that begins to happen. The consumer wants the vehicle. There is a feeding frenzy a little bit now on Honda and Lexus and Toyota and we’re enjoying that right now. It’s going to get tight and when it does, we’re going to have the used car, the nearly new car on the lot to support our consumers’ need.
Scott Stember – Sidoti: Okay. And on the parts and service side, you had a very strong quarter from a warranty standpoint, given the fact that last year you had some benefit from warranties. Do you see the comparison is getting more difficult throughout the year?
Jeff Dyke: We said that in first quarter – in fourth quarter going into the first quarter because of the Toyota recall and then here we go with more Toyota, BMW etcetera, so it’s so hard to predict. We’re not counting on it, that’s for darn sure; we didn’t budget it and we’re counting on our customer base business to drive the day plus. Internal and sublet for us is growing a ton just because of our used car business is growing so much. So, you can’t ignore that. You got to pay attention to that and so there’s a lot of growth there from a fixed perspective just because of the used car business.
Scott Stember – Sidoti: Okay. And just last question related to the guidance, the fact you guys were able to keep you guidance intact essentially with all the turmoil going on in Japan. At this point, I know, maybe you don’t want to answer this, but is there an area within the guided range where you would be more pointing to assuming that we have some significant impact from part shortages in the next couple of quarters?
David Cosper: You’re right. It’s a tough question. Of course, we gave $0.10 range and everybody gravitates to the middle and but I noticed all the analysts move up from there, right? These guys are signaling the middle and they got to do better. I think we’re comfortable with the range and I don’t know how long this thing is going to last. We don’t know. We’ve got a lot of great plans, lot of energy in the other parts of our business. And we’re just going to take it day by day and see how things go. But, we’re very comfortable even where it is. A nickel is a lot, 5 million bucks. We’re comfortable where we’re at.
Jeff Dyke: We did not build our business strategy around the new vehicle department and we’ve been working very hard the last couple of years to get our used vehicle business up. And we think we have competitive advantage there, and we’re going to exploit that over the summer and will have a lot of fun doing it.
Scott Smith: And, Jeff kind of handed out it. We’re beating our expectations on used. I mean, I think our guidance at low double digits, well, we’re not low double-digits. We’re significantly higher than that. And fixed ops revenue is growing much higher. It’s probably going to be 3 to 5% anyway. Six was nice and we’ll take. So, there are some opportunities to help us offset the issues we’re facing.
Scott Stember: Great, that’s all I have. Thank you.
Sidoti: Great, that’s all I have. Thank you.
Scott Smith: Thank you, Scott.
Operator: Thank you. Your next question comes from the line of John Murphy, Bank of America.
John Murphy – Bank of America: Good afternoon, guys. I think you just – you’ve partially answered my first question, but as we look at this $1.18 about $1.28 range, there is still a tremendous amount of uncertainty around the Japanese delivery of vehicles. I mean, forget about the production and delivery to dealers, is this really – this reiteration really just a function of how strong your used vehicle business and the parts and service is doing and there still is a lot of uncertainty around when you get normal supply of Japanese brand vehicles back on track?
Jeff Dyke: Hi, John. You took the words out of my mouth. That’s exactly right. I mean, our used vehicles business is very strong. Our parts and service business is growing and it’s stronger, and we’re just not tied down to what the new vehicle industry is going to do in terms of the performance of our company like we used to be. And we’ve worked very hard to grow those other categories and as a result, we’re going to benefit from that moving forward.
John Murphy – Bank of America: And if we didn’t have this disruption, would you be – do you think you would be raising your guidance range right now or is the model bouncing out to offset that pressure and this is just a model really working out just sort of the way you’ve set it out?
Jeff Dyke: I think you would be raising our guidance range.
David Cosper: Yes, the conservative CFO would say wait a quarter. But, we’d be feeling a hell of lot better. I mean we had a good quarter in our view. We’re very, very pleased.
John Murphy – Bank of America: Second question, just on the financing of used vehicles as you were able to sort of migrate some of these new vehicle buyers over to the nearly new vehicles. How are you finding financing from fin cos, both captive and third-party financing companies?
David Cosper: Yes, I mean, it’s solid. It’s been pretty stable, maybe they’re buying a little deeper as credit ratings get a little better, but overall there has been no substantial change there and our lending intuitions have been, quite honestly, they have been great. And we’re not having any trouble getting our vehicles purchased.
John Murphy – Bank of America: Then on acquisitions, are you seeing anything going on in the market that has changed in the near term in response to these disasters or there might be more acquisitions available at better prices or in general, what are you seeing the in the acquisition market?
Scott Smith: We just haven’t been looking. It doesn’t fit our top three priorities right now. And we are not looking.
John Murphy – Bank of America: Okay. And then just lastly on the April sales pace, have you seen – you mentioned a little bit a feeding frenzy in terms of the Japanese brands, have you seen a pick-up in sort of showroom traffic in response to what’s been going on or in general, have you seen a pick-up in showroom traffic?
Scott Smith: No. It is not – it’s hard to tell, because we are in the middle of rolling out our new vehicle playbook and in those stores, the business is going crazy. So, our used vehicle business has been on such a great pace that maybe we are not – it’s hard to tell whether it’s – what’s going on in Japan or what’s just continuing, it’s been happening at Sonic for the last couple of quarters. And we’ve just had a nice steady growth in both the new and used vehicle side and we expect that to continue. There is no reason for it to slow down in April and it’s doing exactly that.
John Murphy – Bank of America: Okay. So it is fair to say the showroom traffic continues to improve and it’s really just tough the exact factor just driving that – it’s – a lot of it is what you are doing and it might be market conditions as well?
Dave Cosper: Absolutely, March was our best volume month in our company’s history in April, right on the heels of it and might even beat it. So we will see kind of how that goes.
John Murphy – Bank of America: Great. Thanks a lot, guys. Keep it up.
Scott Smith: Thank you very much, John.
Operator: Your next question comes from the line of Rick Nelson, Stephens, Inc.
Rick Nelson – Stephens, Inc.: Thank you. Just a follow-up to that, if you could comment on March and kind of that you are seeing on the new vehicle time maybe kind of the last couple of months and what your expectation would be as we move into May and supplies are even more constrained?
Jeff Dyke: Hi, Rick. It’s Jeff Dyke here. As I said earlier, I mean, our margins are going to range from the new vehicle side, $2150 to $2300 a copy. And a lot of that depends on what manufacture monies you earn and hit. Lexus margins are up right now, especially on the west coast. They are much higher than they have been in the previous six weeks and that is clearly from the lack of supply. So our margins could inch up across some of the brands, but we are going to continue to be hyper-aggressive. So our goal is a total growth, dollar strategy growth goal. And so, we are not out there to be highest PUR company around, although our PUR hours are some of the highest in the sector. And then on the new car side. I mean on the used car side $1,500 a copy is kind of where we’ve been, it’s where we are targeting and our growth has been fantastic. It’s has been superior and we are just going to keep driving that strategy home.
Greg Young: Hi, this is Greg. I would also add we are not seeing a lot of increase right now in the Honda and Toyota GPUs, the margins, the loco market still seems to be fairly competitive. So we are not out there trying to hold out there for the highest margin. So as you guys try to model this out as we go through the second quarter and into the third quarter, I don’t know that I would model out any significant increase in new vehicle GPU as a result of lower inventory levels and so – because, right now we are not really seeing that in the loco market.
Rick Nelson – Stephens, Inc.: And there is sourcing cost on the new car side I would think would be increasing with – having to source more cars at auction?
Greg Young: You mean on the used car side?
Rick Nelson – Stephens, Inc.: Used car side.
Greg Young: Yes, I mean, look, you got you better know what you are doing in today’s market when it comes to buying a Honda, Lexus in these auctions and these closed-bid sales, because if you don’t, you are going to get into big trouble And we’ve just got a very strong buying organization and our technology really allows us to have a competitive advantage and we are out buying cars when others aren’t or they can’t. And so, it makes a really big difference for us and so we are loading up on inventories right now. And we are buying inventory, our buying group is buying anywhere from 1500 to 2000 cars a month. We are loading up on inventory, our margin hadn’t changed. So, I mean, it’s $1500, at $1500. Yes, the prices are high at the auction, but we are also selling the cars and making gross both from an F&I perspective and a front-end perspective, so plus what you get in reconditioning. It’s working out for us and we can live in this market easily. It’s something that we do very well.
Rick Nelson – Stephens, Inc.: Are you seeing any resistance at all to the prices on used cars, the gap I know is narrowing?
Greg Young: No, I mean it’s moving up, it is not moving up though as fast as we would like it to. We’d really like it to move up, but one thing that we are very focused on is our trade ratio. I mean, it’s a lot smarter to buy a car, to trade for a car than just go and stand alone in a lane and bid against each other for a car. So our trade ratios are moving up and we’ve targeted the trade for seven out of every ten cars that we look at. So that is a big number and hopefully, by the end of the year we will be hitting that number.
Rick Nelson – Stephens, Inc.: And what is the race, kind of the supply disruption that you all are planning for that’s incorporated into the guidance?
Greg Young: We just – in terms of – I’m assuming you are speaking about the Japanese disruption here. In terms of that, we just don’t know. It could be the end of the third quarter or the beginning or the beginning of 2012, but we’ve taken all that into consideration. And for now, if you are comfortable now, if supply completely shuts off, then that creates a whole different ballgame that talked about. We are not anticipating this.
Rick Nelson – Stephens, Inc.: Toyota held a case and we could hear last week or pretty much kind of shut off, is that accurate?
Greg Young: No, they are not completely shut off, but they are certainly slimmer and we’ve seen that, but one of the great things for us is, is we had great Toyota day supply end the first quarter. And in March, I think we ended the quarter with 50 some odd. Today, right now, we have 55 days of supply of Toyotas on the ground. So we are in really good shape from a Toyota perspective. And we’ve got some stores that have a lot more than that. Honda is the one – we’ve got about 27 days supply there. So that is a much bigger issue for us. And that’s why we are so focused on buying nearly new Hondas at the auctions.
Rick Nelson – Stephens, Inc.: Thanks a lot and good luck.
Greg Young: Thank you very much, Rick.
Operator: (Operator instructions) Your next question comes from the line of Colin Langan, UBS.
Colin Langan – UBS Securities LLC: Good afternoon.
Scott Smith: Hi, Colin.
Colin Langan – UBS Securities LLC: I am not sure if I caught the comment, when you through slide eight, I though you made a comment around the buying back shares to repurchase the convertible note. Could you just clarify that?
Scott Smith: I did say that and the convert trades ahead of – I mean, if you go on pricing thing right now and I haven’t looked at it, but it trades substantially more than the convertible number of shares that you would think. The underlying value of the stock today, no, it is trading ahead of that. So if you are going to take it out, you are better off buying the shares and then netting the shares against the debt.
Colin Langan – UBS Securities LLC: Okay. Have you started – I mean, I guess haven’t seen – it doesn’t seem like there is any evidence of a future plan to –?
Scott Smith: That’s our future plan and exactly what I said was that first we are going to go after the $43 million of debt that’s due in 2013 and we can call it in August. So, post that, I would look to see us do something.
Colin Langan – UBS Securities LLC: And you could – the 2014, that can be called an end time or you have to wait until 2014?
Scott Smith: You have to wait until 2014. There is a put and call date at that time. The ultimate maturity of this debt is 2029 actually. It won’t last that long.
Colin Langan – UBS Securities LLC: Okay. The other question, I actually missed – the parts and services, what was the warranty internal, how do you expect the parts to perform?
Jeff Dyke: I am sure, Colin, it’s Jeff Dyke. Let’s see here. On the internal and sublet, we were up combined 17% revenue and 13.2% in gross. And then from a warranty perspective, we were up both in revenue and gross at 11% and warranty averaged 17% – 17.7% of our revenue mix which is in line with where we’ve been for the last couple of years.
Colin Langan – UBS Securities LLC: And customer pay?
Jeff Dyke: Customer pay – revenue was up 1% for the quarter and gross were down 1.4%.
David Cosper: But lot of those was weather as Jeff mentioned as the revenue is actually 3.5% in March and gross was up almost 1%.
Colin Langan – UBS Securities LLC: And the weather – was that also a factor so that the margins were a bit weaker through or is that –?
Jeff Dyke: No, that’s more of a mix Colin than it is that, we’re driving a lot more tire sales in our service drives and they just have much thinner margin. So, it’s creating the effect that – the thing about it is and everybody get hung up on margin percentage and we are trying to get everybody start thinking about total gross dollars and that’s what we are looking forward. There is a sweet spot from a margin percentage perspective, whether it’s 49.5% or 51.5%, we are playing with that, but it’s the gross dollars that we are generating that makes the big difference, because that’s what you take to the bank, you don’t take a margin percentage to the bank and we are seeing that happen now throughout all of our categories.
Scott Smith: Yes, to Jeff’s point our gross dollars were up 9.5% and that’s what we are focused on.
Colin Langan – UBS Securities LLC: Okay. And can you just – your comment that the price on new vehicle gross per unit range, what factors dictate where you should be in that range, that car truck mix, brand mix?
Jeff Dyke: Yes, it does have a lot to do with brand mix. We’re really focused on driving our Honda and Toyota business in the first quarter in particular Honda and they have a lower PUR, so that drives the overall GPU down and in terms of our import brands, and then BMW has a higher PUR and it’s up. So, the mix is somewhere – we said this in the fourth quarter coming in, we’ve got our new vehicle playbook that we are executing and we are rolling out, that put some pressure on the margin or on the gross per unit. So, somewhere between 2150 and 2300 is what we are projecting and it’s going to fluctuate around there. Also, when you hit all these manufacturing incentive program, that adds more money into the PUR and you really don’t know that until you get towards the end of the quarter. So things are a little bit fluid and we have been saying that. As we move into the 2011, things are going to be a little fluid on new vehicle PUR because of the things that we are doing, but ultimately what’s going to happen is we are going to take market share, drive a lot more revenue and a lot more growth and that’s exactly what we are doing.
Colin Langan – UBS Securities LLC: Okay. How about car truck mix, I mean if we see a big shift back to cars, that brings the lower end of that range or –?
Jeff Dyke: You are seeing some, probably more for gasoline than our strategy though, because the strategy covers obviously both segments. So you are seeing a little bit of that, it’s driven primarily by gas, but then that’s driven by availability of inventory. And so it’s just you are really in a very fluid situation right now and it’s going to be that way for the remainder of the summer, we are projecting.
Colin Langan – UBS Securities LLC: Okay. Thanks.
Jeff Dyke: Thanks, Colin.
Scott Smith: Thank you, Colin.
Operator: Thank you. I would now like to turn the call back over to management for closing remarks.
Scott Smith: Great. Thank you, Holly. Well, I would like to thank everybody for being on call today. We are very focused here at Sonic Automotive and we are delivering our results and we are very optimistic about the year. We look forward to speaking to you again next quarter. Have a great day, everybody. Bye-bye.
Operator: Thank you for participating in today’s Sonic Automotive first quarter earnings conference call. You may now disconnect.